Operator: Thank you for joining us on the call today. Before we begin, I'd like to announce that we will be referring to today's earnings release, which was sent to the news wires earlier this afternoon. I'd also like to remind everyone that this conference call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. 
 Such risks are fully discussed in the company's filings with the SEC and SEDAR, and the company does not assume any obligation to update information contained in this call. 
 During this conference call, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of or as a substitute of, or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the company's financial statements filed with the SEC and SEDAR. The non-GAAP financial measures used in the company's presentation may differ from similarly titled measures presented by other companies. A reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release. 
 With that, I will now turn the call over to your host, Fred Vandenberg, Chief Executive Officer. Please go ahead. 
Frederick Vandenberg: Thanks, Joanna. Hi, everyone. Thanks for joining the call. As you all know, Q2 is our slowest seasonal quarter for the year because of the holiday season. Revenue from Play MPE for the quarter fell by approximately $57,000. This decline is viewed primarily as a temporary one from a customer that -- whose agreement has expired, and we're just negotiating a renewal. We continue to service that client. 
 Revenue for Q2 this year is still higher than it was in 2019. We do expect that this pricing, when we eventually negotiate the renewals, will form somewhat of a decline. I don't -- I want to prepare us for that, but it's not a significant one. And I think we just haven't recognized the revenue associated with that service because we haven't finalized the agreement. But over time, I think we'll recover that with use -- from growth in other areas. The pricing last year was really out of alignment with our -- for this particular customer was out of alignment with our pricing generally and out of alignment with a strategy to reach growth. 
 Total expenditures for the quarter and year to date are both up approximately 23%. A little bit more than half of that increase is due to onetime charges. These charges are substantially related to restructuring. During the quarter, we made some significant changes to our business development group. And other changes are related to increases in staffing costs. And I'll discuss staffing a little later. 
 During the quarter, we released a couple of significant updates to the platform. We've press-released these, but I'll just touch on them briefly. The first one is on the sending side of the platform. We have added language translations that Play MPE is now in not only English, but it's in Spanish, German, French and Japanese. And as we enter into the Latin market, we've noticed that a Spanish version is certainly very useful. Even in the United States, you find people that don't even speak English that -- and these versions are very useful.
 We also released a new recipient signing platform. This -- I think Play MPE is already or was already the easiest-to-use platform, but we continue to evolve and increase the ease of use, and in this version, we substantially improved the song discovery search platform part of the Play MPE. And we also added an authentication feature, which automatically allows the authorized recipient to enter in the system without having to continually add their password. We think these are significant strides ahead in improving the performance of the platform. 
 On the business development front, we've made great strides over the last months -- last couple of months in Canada. We really started to approach Canada about a year ago, and we build a strategy. We build lists, we educate platform users and even some minor technical improvements or modifications, really. And what we've discovered is that some of the recipients in Canada hadn't even heard of Play MPE. It's a bit funny to us, but they didn't even know that Play MPE existed, let alone that we are a much broader service than the competitor in Canada. And I think we've been really well received. In January this year, so in Q1, Universal Music started to distribute in Canada. And that's evolved into now distributing full albums, and that's exclusive to us. We've also been distributing for several major independents. 
 We are very excited about the reception we received. I think like last year when we started to approach Canada, we hired Stephanie Friedman, which is the -- someone who's very connected in the Canadian music scene. And I think she's probably a little bit surprised at how that it's taken more than a year to get to this stage. And that's probably partly because of how much better I think our system is than the entrenched competitor. But I am not surprised. I've seen this before. In 2004 through 2008, we really thought that Play MPE would be a really quick-to-adopt system, and it just took a long time to educate and get people on board, and we're seeing that now. 
 This contrasts a little bit with the Latin music scene. We are -- in Canada, we see an entrenched competitor that we're displacing. In the Latin music scene, we don't have a dominant player. We are -- we've started to move towards building that market out. And we're starting to see increases in use in the U.S. with, again, adding Universal content and adding major independents. We have had a little bit of an interruption in trials from COVID, but that's more upside, slowing the expansion as opposed to anything to do with existing business. 
 Back to the staffing changes. We -- during the quarter, we significantly restructured the business development group. We've made some subtractions, and we've added a new Director of Business Development. This is the first time we've had a director in that position. And I'm very excited about that. We're going to issue a press release tomorrow. We've also added a new Marketing Manager and a new Product Manager. These are replacements. And I think these additions are extremely exciting for the company. 
 Lastly on that, Lisa Embree has left the company effective today. We'll issue an 8-K tomorrow morning. She's the CFO that was just hired. She's had to leave for personal reasons, something not anticipated. 
 Lastly, on the COVID impact, we've been monitoring releases, distributions and sales leads during the quarter. And these aren't 100% correlated to revenue, but we have seen no downturn in these results -- in these metrics. 
 I've received some questions over the last hour, so I'll try to identify those -- or answer those. 
 So the restructuring and onetime costs, we think that they're approximately, rather, about $170,000 impact over the 6 months. So if you -- on an ongoing basis, our expenses would be $170,000 lower. 
 Another question was regarding Canada -- Universal's use of us in Canada. That is covered under the global deal. So there's no direct impact currently with that new use. We think in terms of timing, both in the Latin and in the Canadian market, it's a little bit difficult to predict when that will impact revenue. But we think Canada is going to toggle over very shortly over the next 6 months. And it's -- Latin market is a bit of hard to predict, and it's going to be a huge market. It's -- there's Latin in the United States, Latin in Central America, Latin in South America, and those aren't 1 area. So we're trying to build that use out, and it will take some time, but we think that will eventually take off. 
 Another question is about the impact from the GDRP or G -- yes, GDRP in Europe. And we don't see any impact from that at all. That's privacy rules. 
 And I think that's all the questions that were asked in the last hour. 
 So I'll turn that over to questions from our callers, if there's any. 
Operator: [Operator Instructions] 
 The first question comes from [ Ben Bobcock ], an investor. 
Unknown Attendee: Fred, it's [ Ben ]. I just wanted to touch base with you and ask you about, I see you guys still have a lot of cash, short-term investments, receivables. What are your thoughts as to what you and the Board are going to do with that cash? 
Frederick Vandenberg: Yes. Okay. So the -- there's lots of things we can do. And we consider acquisitions to move revenue up faster. We consider going into a loss position to move revenue up faster, whether that's product improvements or business development additions. And we consider buybacks and dividends to shareholders. So we look at all of those different things and try to figure out which the best -- which is the best impact for our shareholders. At these stock prices, I wish we could do more of the buyback. And it's, I think, the -- we see a tremendous amount of growth for Play MPE. And it's a difficult decision whether we use it to speed up the revenue growth. But I think we're looking -- we'll address that answer probably -- that question probably a little bit further down the road, maybe when we see a little bit more of what's going to happen with COVID. I mean I don't like that answer, but -- and we're not particularly impacted, at least not yet from anything to do with this pandemic. In fact, I think in some ways, it's actually pretty good for us. So -- jeez, I hate to say like that. But I think you'll see a greater amount of contact -- content coming out of the system. But -- I mean to answer your question, I would probably do the buyback, if I could. I cannot until September 1. I like having a little bit of cash because it reduces the risk of the company, I mean if there was something downturn, but I don't expect that. And I think we'll use the new Product Manager -- new Senior Product Manager and new development -- sorry, Business Development Manager to -- Director to build out a really large strategy on how we can grow the business faster because we do see a lot of potential. And I think getting Canada switched over to Play MPE will be a proof of concept that will really drive revenue, drive our ability to add expenses to grow faster, and we'll see how that turns out. Probably a long-winded way of answering your question, but... 
Unknown Attendee: No worries. Have you or the Board given any thought at these prices to potentially a tender offer at maybe like $0.75 a share? Or is that even something you can do under the rules? 
Frederick Vandenberg: We can do -- you mean to go private or something, is that -- or just... 
Unknown Attendee: No. Just to offer to buy a certain amount of shares at, like, say, $0.75. I'm not sure if that's possible under the rules in Canada. I was just curious if you or the Board have thought about that at all. 
Frederick Vandenberg: The CSX rules prevent us from doing more of the buyback, in general. I think there are ways for us to buy from a former officer, which is -- which we do have some capacity to do. I would love to do that, I just don't think that that's available to us. 
Unknown Attendee: And I noticed in the MD&A that there was -- and I saw a snippet about how you're doing trial runs with independents and a large record label. Is that in Canada? 
Frederick Vandenberg: I'm sorry, you saw what? What did you... 
Unknown Attendee: In the disclosure, it says here that you're doing a trial run with several major independent record labels and a second major record label, and then you say at the end that the company expects revenue to commence during the fiscal year. Can you add any more color to that? 
Frederick Vandenberg: Sure. That's Canada. We do -- we are doing the same in Latin. It's just a little bit further behind Canada. Latin -- when I say Latin music, I mean Latin music in the United States, which is primarily in the Southern U.S. But also in Central America and South America, we are expanding our use. Broadly, our plan is always to expand our use with UMG and then expand that to other majors or major independents. In Canada, we're -- we've been going at this for about a year. We're a bit further down the track. And in Latin, we're just starting out. But we have had trials with major independents and we're making contact and educating customers down the sales funnel in -- for majors in those same territories. 
Unknown Attendee: And based on your disclosure, you expect to have revenue from one of these trials within the next, I guess, 6 months because you said fiscal year disclosure? 
Frederick Vandenberg: Yes. Yes. I mean I can't guarantee that, but I -- the reception we've received in Canada is, it's quite strong. I would like to have a little bit more running room in terms of trials and building up the metrics, and with more content, you get more recipient use, et cetera, but -- it snowballs. But I think at this point, we're starting to move along down that track. 
 And I think -- and one of the things that is kind of hard to explain, but you'll see some marketing -- if you're paying attention to our marketing feeds, you'll see some marketing about quotes from individuals within the Canadian music industry about the system that I think are -- will really tell the tale about where we are and how we perform. 
Unknown Attendee: And just my last question, I'll jump back in the queue, if there is one. With respect to the CFO's departure, can you add any more commentary as to that? I think she was just hired very recently, if I recall correctly. 
Frederick Vandenberg: Yes. That's correct. I'd prefer not to. It's personal reasons. There's nothing to do with business, and it's personal to her and she needs to take some break from work. That's about as much as I want to tell you. 
Operator: [Operator Instructions] There are no further questions at this time. You may proceed. 
Frederick Vandenberg: Okay. Thanks, everyone. Again, you can always e-mail me the questions, and I'll try to read them off during these calls. I do prefer to answer these questions on the call so all of our investors can -- from -- can benefit from the answers. So if you do send them to me, I'll try to answer them during the call. Again, thanks very much. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating. And we ask that you please disconnect your lines.